Operator: Greetings. And welcome to the Crescent Energy Fourth Quarter and Full Year 2022 Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Emily Newport, Senior Vice President of Finance and Investor Relations. Thank you. You may please begin.
Emily Newport: Good morning. And thank you for joining Crescent’s fourth quarter and full year 2022 earnings call. Our prepared remarks today will come from our CEO, David Rockecharlie; and our CFO, Brandi Kendall. Todd Falk, Chief Accounting Officer; and Ben Conner and Clay Rynd, both Executive Vice President, are also here today and available during the Q&A. Today’s call may contain projections and other forward-looking statements within the meaning of federal securities laws. These statements are subject to risks and uncertainties, including commodity price volatility, global geopolitical conflicts, our business strategies and other factors that may cause actual results to differ from those expressed or implied in these statements and our other closures. We have no obligation to update any forward-looking statements after today’s call. Today’s discussion also may include disclosure regarding non-GAAP financial measures. A reconciliation of historical non-GAAP financial measures to the most directly comparable GAAP measure, please reference the 10-K and earnings release available on our website. With that, I will turn it over to David.
David Rockecharlie: Good morning and thank you for joining the call today. We are pleased to share our performance and progress with you as we close out our first full year as a public company and look ahead to 2023. While we have reached a number of milestones over the last 12 months, we continue to execute the same proven acquire and exploit strategy that we have successfully pursued over the last decade. Over this time, as both a private and public company, we have managed the business through market cycles and significant volatility to deliver significant free cash flow, prudent risk management and attractive returns on investment. I will summarize our 2022 highlights today under three key themes, financial, operational and business scale. Our team is delivering across all of these important areas and we will continue building on this momentum. Let’s start with our recent financial performance. First, 2022 was an outstanding year for Crescent. We generated $1.2 billion of adjusted EBITDA and nearly $500 million of levered free cash flow. We demonstrated our commitment to capital allocation priorities, 1A and 1B, returning cash to shareholders and maintaining balance sheet strength. In 2022, we returned a roughly 7% yield or $143 million to shareholders through quarterly dividends and an opportunistic share repurchase in September, where we reduced total shares outstanding by 2%. Looking at the balance sheet, our substantial free cash flow generation allowed us to reduce approximately $300 million of net debt subsequent to closing the highly accretive Uinta Basin acquisition in the first quarter of 2022, and today, our leverage ratio is 1 times in line with our long-term target. In January this year, we completed a successful $400 million notes offering and used the proceeds to reduce additional RBL debt. This significant RBL repayment post-acquisition demonstrates our commitment to balance sheet strength and a preference for longer term institutional capital and today we have pro forma liquidity greater than $1 billion. Our capital structure with an aggregate bond complex of over $1 billion, coupled with increased business scale, access to the equity markets and consistent business execution has been recognized by the rating agencies with an upgrade from Moody’s and a positive outlook from S&P earlier this year. We’ve continued to progress our capital market strategy and since going public, have accessed the debt and equity markets 3 times to raise approximately $700 million of capital to strengthen our balance sheet and expand our public shareholder base. Our inaugural follow-on equity offering in September of last year increased our float by 15%, while also expanding our institutional shareholder base. Going forward, we remain focused on establishing a prominent public presence. Now let’s move on to our operational performance. In 2022, we continue to create value from our large resource base and deliver on our business plan. Despite the industry backdrop of inflation and commodity price volatility during our integration of both the Contango and Uinta acquisitions, our production and capital investments remained within our original beginning of the year guidance when adjusted for non-core asset sales. This is a big accomplishment as our team continues to find innovative ways to combat industry-wide challenges, including supply chain constraints, infrastructure maintenance and inflation. For the year, our production averaged 138,000 barrels of oil equivalent per day. This is a more than 45% increase from 2021 levels, driven by the attractive production-based acquisitions of both Contango and the Uinta Basin assets, and incremental production from the further development of our proven resource inventory in the Uinta and Eagle Ford. We benefited from well productivity gains in both areas where we are drilling longer laterals, reducing cycle times and optimizing our well spacing and completion designs. These operational efforts help offset inflation and drive investment returns. Our CapEx spend in 2022 totaled approximately $625 million at the low end of our guidance. More than 80% was allocated to the development of our high return oil plays in the Uinta and Eagle Ford. We continue to anticipate our capital program to generate on average one-year to two-year paybacks and over 2 times our invested capital, assuming current pricing and production trends. Our proved reserves increased nearly 10% year-over-year to 573 million barrels of oil equivalent. Importantly, oil reserves were up more than 15% and about 80% of our total reserves are proved developed. The value of our reserves reflects the increased oil percentage and our deep inventory of proven development locations with a proved PV-10 value at SEC pricing of approximately $9.6 billion at year-end. We maintained our industry-leading low decline rate of 22%, which provides our business increased flexibility and less reinvestment risk relative to peers. Additionally, we continue to integrate important sustainability initiatives across our business. Last year, we joined the OGMP 2.0 initiative, committing to better methane emissions measurement and we set ambitious targets, including to reduce our absolute Scope 1 CO2 equivalent emissions by 50% by 2027 from our 2021 asset levels. While the sector continues to consolidate into financially stronger proven operators, I am confident that our business performance and operational execution will remain differentiated and be recognized by the market over time, significantly benefiting our shareholders. Lastly, let me cover our accomplishments as we continue to scale the business and our 2023 opportunity set. Our acquire and exploit strategy remains unchanged and is a proven approach to creating value for our shareholders. We are focused on generating free cash flow, managing risks and making attractive returns on the capital we choose to invest. Our Contango and Uinta Basin acquisitions from over a year ago were transformative. Additionally, we high graded our portfolio, selling approximately $100 million of assets over the course of 2022, the largest of which was our subscale operated Midland Basin position. We have prudently and accretively increased our scale in production, reserves and cash flow, while maintaining a strong balance sheet and investment grade credit metrics. And we will continue to enhance our financial and operating foundation so that we remain well positioned to scale. As you know, we are one of the most active participants in the A&D market. In 2022, we evaluated over 150 transactions with a focus in our core areas in the Texas and the Rockies. Given the number of asset opportunities we screen each year, we have a unique and valuable understanding of the broader market dynamics. We look for a confluence of factors in our broader acquisition decision-making, including asset supply, competitive dynamics, cost and availability of capital and oil and gas macro fundamentals. For example, we were quite active in the M&A market prior to the run-up in oil and gas prices, which occurred during 2022. However, over the last 12 months, we have been sellers, not buyers. Because of our deep high quality development inventory and low base production declines, we can afford to be patient. We expect the A&D market will be active this year as inflation moderates and oil prices stabilize. The progress we’ve made to bolster our balance sheet and successfully access the capital markets will allow us to continue to be an active and disciplined acquirer. We will continue to remain disciplined and selective when it comes to acquisitions and focus on opportunities where we can capture synergies and enhance operations in accretive transactions as we continue to scale and transform our business. With that, I’ll turn the call over to Brandi to cover our fourth quarter and full year 2022 financial results and 2023 outlook. Brandi?
Brandi Kendall: Thanks, David. I’ll quickly cover our fourth quarter results and then turn to our 2023 outlook. For the fourth quarter, we generated $290 million in adjusted EBITDA and $113 million in levered free cash flow with 139,000 barrels of oil equivalent a day of production. Results reflected the impact of our $80 million Midland Basin divestiture winter weather and fewer planned turned in line. We estimate that weather impacts reduced volumes by approximately 1,500 barrels per day during the quarter. Our oil differentials increased modestly quarter-over-quarter, primarily due to higher production contribution from the Uinta, whereas gas realizations remained relatively flat. Given our sizable Rockies footprint, we are well positioned to benefit from the increased natural gas realizations in certain West Coast markets, particularly in the first quarter of 2023 as higher gas revenues are expected to more than offset a moderate production impact from winter weather. Our operating expenses per Boe for the fourth quarter were largely in line with annual figures. Both exceeded our original guidance, primarily due to inflation commodity-linked costs, high return elective workover projects and weather impacts. However, we were in line with original annual guidance on production, EBITDA, CapEx and free cash flow, when adjusted for divestitures and commodity prices. Turning to 2023, we remain focused on adhering to the disciplined strategy that we have pursued for over a decade in the private and public markets; one, generate significant free cash flow; two, exercise prudent risk management; and three, produce attractive returns on the capital we choose to invest. Our 2023 guidance was constructed around these three areas. First, we prioritized free cash flow generation. Roughly 85% of our $575 million to $650 million capital program is allocated to our operated Uinta and Eagle Ford inventory. As a result, we expect maintenance levels of production of around 134,000 barrels of oil equivalent per day at the midpoint, while spending slightly less capital than in 2022. Today, we are running one rig in the Eagle Ford and one rig in the Uinta and expect to maintain this level of activity in the near-term. We continue to be mindful of inflation and have incorporated our latest expectations into our capital budget and our operating cost guidance. Next, we employ prudent risk management. Both oil and natural gas prices have declined in recent months, while service costs have yet to reflect this change. This is a great time to exercise discipline and we have the flexibility to do so with our industry-leading low decline rate and relatively less capital intensive business. The cash flow we generate in today’s commodity price environment will allow us to continue to prioritize returning capital to shareholders and balance sheet strength. Priority 1A and 1B for Crescent remains the dividend and the balance sheet. We know the importance of a sustainable cash return model for shareholders. To earn a premium valuation, cash return frameworks require a well-defined strategy and must deliver through commodity cycles. Our return of capital strategy, which is fixed as a percentage of EBITDA and is a strategy that we have pursued consistently over the past decades inflates our investors from the impacts of capital inflation relative to a strategy defined as a percentage of free cash flow. Highlighting our commitment to shareholder returns, today, we announced another $0.17 per share dividend. Third, we focus on generating attractive returns on investment. Our 2023 outlook accounts for what we believe will be an active year for M&A. We will continue to be selective and screen for accretive deals that can create long-term value, but we structured our 2023 capital program to effectively balance our organic D&C investments in the pursuit of attractive A&D opportunities. In summary, we are pleased with our financial results and look forward to what we anticipate will be a year of continued momentum for our business. With that, I will turn the call back over to David.
David Rockecharlie: Thanks, Brandi. We’re pleased with what we accomplished in 2022 as a team in all areas of the business. Overall, we continue to scale the business prudently and accretively. We generated approximately $500 million of free cash flow, driven by our high return oil development and participated in attractive M&A. We continue to execute on our priorities to return capital to investors and maintain our strong balance sheet. We entered 2023 with a disciplined investment plan designed to maintain flexibility and create value for our shareholders by continuing to execute our proven acquire and exploit strategy in what we see as an attractive market backdrop. We are fortunate to have purpose-built flexibility with our 2023 program, stemming from our industry-leading low decline rate, multi-basin presence, deep inventory of high return oil development opportunity and effective risk management practices. We continue to stick to our core strategy and principles and we are proud to be able to share this outstanding business performance as we finish our first year as a public company. I will now open the call up to questions.
Operator: Thank you. [Operator Instructions] Thank you. Our first question comes from the line of Neil Dingman with Truist Securities. Please proceed with your question.
Neil Dingman: Good morning, all. Thanks for the time. Maybe my first question, probably, for you just on general sort of free cash flow allocation. I’m just wondering now that I look and leverage seems to be down to a comfortable level, you’ve obviously paid a solid dividend. Looking out there, your -- not only does your stock appear to me quite cheap, but you mentioned a number of potential attractive deals out there. So given kind of those four things now, how do you -- do you think about prioritizing free cash flow any differently today than you did maybe a year ago?
David Rockecharlie: Hey. Thanks for the question and good morning. I think the simple answer is no. We stick to those priorities 1A and 1B, the balance sheet and the dividend and then everything else is optimistic and so I think one of the things you should expect from us this year is a strong focus on flexibility. I’d say last year was in hindsight, pretty obvious and easy for the industry to allocate capital to development as we had entered the year at pretty attractive margins with increasing commodity prices. And so you’re just going to hear from us that we think that this year is going to be more volatile, require more focus and attention day-to-day and I think we do well in those environments. So same priorities and really just focused on being flexible around finding the best value.
Neil Dingman: No. Great to hear. And then just a couple more, just for you, Brandi, just on hedges, generally had been a little bit more on the out year a little bit more hedged. Just again thoughts has that changed at all the thinking around hedging given you definitely have even a better balance sheet than a very solid balance sheet. So I’m just thinking when you look out a year, you’ve got pretty decent hedges for this year. I think you’re about 50% or so. I’m just wondering when you look out year, I think, you’re closer to 25%, so thoughts about adding to that out year?
Brandi Kendall: Hey, Neil. No change to our hedge strategy. You’re right, we’re roughly 50% hedged this year at the midpoint at 25% next year. For us, it’s all about protecting the balance sheet. And as you mentioned, the balance sheet is really strong today, and then, secondly, it’s protecting returns on the capital that we invest. The last time we hedged any material amount was in connection with the Uinta transaction. So as you see us put capital to work this year, whether that’s through D&C or through acquisitions, I think, it’s fair to assume that we adhere to our historical policy of protecting that invested capital.
Neil Dingman: Okay. And then one last one, if I could, just on operations, you mentioned, a pretty good slide on that slide 13, where you are having the upside in the Uinta from the optimized well design. I’m wondering, are you also doing much like in the Eagle Ford, are you doing in the Uinta longer laterals and are you seeing better drilling days there or really is it just more about -- you talked about the hybrid and the slickwater. I know that you’ve gone to maybe where the upside is being seen in the Uinta these days operationally?
Ben Conner: Yeah. Hey, Neil. It’s Ben. Certainly, taking all the learnings from the Eagle Ford and applying them more relevant in the Uinta, I’d say, and the operational efficiencies, yes, we’re still continuing to get better every day in terms of our execution and realizing that through cost efficiencies. As it relates to lateral lengths, the Uinta is generally pretty well set up from kind of 10,000-foot laterals. That’s generally what we’re pursuing up there. And so I think you should continue to see kind of that development plan. And as you noted, moving to the slickwater completions, we think has both delivered better results, as well as reduced capital costs overall, which has benefited margins and returns.
Neil Dingman: Thanks, Ben. Thanks. Thank you all.
Operator: Our next question comes from the line of John Abbott with Bank of America. Please proceed with your question.
John Abbott: Hey. Good morning and thank you for taking our questions. Our first question is on your 2023 production guidance. Just wondering would want a little bit more color on the high end and the low end of that production guidance range. How are you thinking about overall turn-in-lines for the year and also the cadence of turn-in-lines for the year?
Brandi Kendall: Hey, John. It’s Brandi. So as we think about our 2023 program and as we hit on in our prepared remarks, that’s really a maintenance level of activity for us, right? That results in plus or minus $600 million of capital on a full year basis. So slightly down year-over-year. We do expect similar TIL activity than what we had in 2022, which is in and around 60 TILs on the total asset base. From a production cadence standpoint and we hit on this slightly in the prepared remarks, we do expect Q1 production to be down slightly and that really is two-fold. We experienced some weather events in Q1 and then also just the timing of when those TILs come online in the first quarter. It will be towards the back end of the quarter. So we would expect production to be low single-digit percentage points down relative to the fourth quarter and then would expect to be back up in line with the midpoint or above the midpoint for the rest of the year.
John Abbott: Appreciate it. And then for our second question, it’s on deal activity -- potential deal activity. Is there a particular size of deal that you would consider in this -- I mean or how are you thinking about the potential size of a deal in this market, what’s your willingness to let your net debt-to-EBITDA metrics move potentially higher? And then, lastly, it sounds like you’re looking more at oil opportunities in your existing assets, would you consider gas opportunities in the current environment?
Brandi Kendall: Hey, John. I’ll start and then I’ll turn it over to Clay. So, just maybe as a reminder, as we look at investing in the sector, right? One, everything needs to meet our underwriting criteria for us at 2 times multiple of invested capital, needs to be accretive to the business from a cash flow perspective, and then it also just needs to fit within our financial policy framework. So for us and we publicly stated this, that means no more than 1.5 times in an acquisition scenario. So with that, I’ll then turn it over to Clay to talk more specifically about the market.
Clay Rynd: Yeah. And I think we’ve -- as we look at kind of deal size, obviously, it starts with what Brandi hit on and making sure it fits within the financial framework of the business. But then from there, I think, we’ve been pretty consistent in and around our asset base. We’re just trying to be as opportunistic as we can. So we’ll go on the small deal size to large. And then if we step away from our existing asset base, we’re going to be looking for something that’s larger in scale. We don’t want to be scattered and so if we’re stepping away from the asset base, it’s going to be on kind of the largest end of opportunities for us and looking for places where we can go achieve scale. And then, you mentioned gas versus oil, obviously, as we came through the fourth quarter last year, we saw the commodity volatility really ratchet up and deal activity shrink and we called last year the year of the failed sale. Certainly, I think, we’ve been pretty consistent that we’ll look at both and just think through value, I would certainly expect with the volatility in gas. It’s a tough market to transact in today. So you bias us to seeing kind of transactability higher in the oil market, and obviously, that clearly fits within our asset base as well. So I think that’s where our bias would be. But we think this is going to be a really active year, Dave and Brandi hit on that. I think, we said, we look at 150, give or take deals last year. I think we’ll look at more this year, just given how activities ramping up. So we’re excited about the opportunity set.
John Abbott: Thank you. Very helpful. Thank you for taking our questions.
David Rockecharlie: Great. Thanks, John.
Operator: Mr. Rockecharlie, it appears we have no further questions at this time. I would like to turn the floor back over to you for closing comments.
David Rockecharlie: Great. Thank you everybody again for joining us and for continuing to support us as we build the business in a prudent and accretive way and we look forward to continuing conversations going forward.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.